Mark Vassella: Good morning, and welcome to BlueScope's First Half FY '25 Financial Results Presentation. I'm Mark Vassella, and I'm joined this morning by David Fallu, our Chief Financial Officer. David and I will take you through the results materials. After which, we'll have time for Q&A. We're joining you today from BlueScope's head office in Melbourne, part of the Eastern Kulin Nation. I'd like to acknowledge the traditional custodians of this land, the Wurundjeri peoples. We pay our respects to elders, past, present and emerging and all First Nations people joining us today. Now to the highlights. Despite the challenging macroeconomic environment and bottom of the cycle conditions in the first half of FY '25, BlueScope remained profitable, demonstrating our business model's resilience. The business produced an underlying EBIT of $309 million and a return on invested capital of 8.1% against these challenging macro conditions. During the half, we delivered $162 million in shareholder returns and finished with an $88 million net cash balance sheet. Critically, we're ensuring we're balancing near-term performance with longer-term growth. I'll touch on this in more detail shortly, but in short, we're well underway on our $200 million cost and productivity program and are actively identifying additional opportunities to bolster performance. And we have an exciting pipeline of growth opportunities that we're working through. Together, this will deliver a target $500 million in incremental annual EBIT by 2030. We're also maximizing cash generation through a resequencing of capital expenditure and a refocus on working capital. An example of this is the work we're doing to expedite the realization of cash from our land portfolio in West Dapto and the work underway to position the balance of our adjacent land holdings. But first, to start with safety. Over the last six months, the team has done a fantastic job in responding to the call to action we made in our global refocus on safety program. As I noted at our FY '24 results and on our ESG webinar last September, this program is designed to leverage our culture of learning and our people-centered approach whilst refocusing on the basics of our foundational safety practices. Across the business, I've been pleased to hear of the work being done to recommit to our safety basics, seeing our leaders on the shop floor supporting their teams and the business and site-specific approaches to operationalizing this refocus. On the lead indicators, we've identified nearly 200 risk control projects for the year and continue to build capability through training and development. The lag indicators tell a bit of a mixed story. TRIFR has reduced to 8.0% but remains above our long-term range, and the potential severity measure has increased slightly. This refocus and our work to improve our safety performance more broadly is an ongoing program, and we'll continue our efforts into the second half of FY '25 and beyond. To our financial headlines. As I noted earlier, first half FY '25 EBIT of $309 million represents a solid result in the context of the external macro conditions and is at the top end of the guidance range we provided in October. This was impacted by continued bottom-of-the-cycle Asian steel spreads and materially weaker benchmark spreads in North America, a challenging operating environment with continued cost inflation pressures and a significantly lower performance in New Zealand, which is facing very tough macro conditions. In August, the Board announced its intention to increase the annual ordinary dividend level to a target $0.60 per share per annum. Accordingly, the Board has approved a fully franked interim dividend for the first half of FY '25 of $0.30 per share and has extended the tenor of the existing buyback program. Our continued success, including today's results, would not be possible without the ongoing hard work and capability of the entire BlueScope team who I, again, thank for their dedication and support. David will take you through the individual performance in detail shortly. We're continuing our important work across our broader key material sustainability topics. Our commitment to climate action remains at the forefront of our approach. And in the half, we continued to advance our climate strategy. We released our second Climate Action report in September '24 and which enhanced our disclosures and has been well received by our broad stakeholder group. We've continued to progress the collaboration with Rio Tinto and BHP, selecting Kwinana near Perth as the location for the ESF pilot plant and welcoming Woodside Energy into the partnership. And we continued our work on a range of projects across the business. such as the Electric Arc Furnace project in Glenbrook, New Zealand and our Australian DRI Options study. Representation of women at BlueScope held stable at 25% during the half and the Company continued its efforts in strengthening its supply chain oversight. Now turning to the group outlook. Underlying EBIT in the second half of FY '25 is expected to be in the range of $360 million to $430 million. This improvement on the first half of FY '25 is being driven by improved spreads in the U.S., stronger domestic volumes in Australia, and benefits from the group-wide cost and productivity program. The assumptions we've used are set out on this page. Before David takes you through the results in detail, I wanted to step back for a few minutes and talk about how we're positioning BlueScope for near-term success and how our initiatives and our investments are going to deliver growth through to 2030. Our strategy to transform, grow and deliver alongside our financial framework, continue to drive our decision-making in pursuit of our purpose. Across the group, our people work hard every day to execute on this strategy, which has built our resilience and earnings power over the last decade. As a result, we expect this work to deliver earnings growth in excess of $700 million over the next five years. We've commenced work on our $200 million cost and productivity improvement program to be delivered over FY '26, and we're now doing opportunities for further improvements. Whilst balancing the need for near-term productivity benefits, in the medium term, we're working on a range of initiatives and investments to deliver a targeted $500 million of additional earnings contribution by 2030, and this is net of the upside we see from our 1,200 hectare portfolio of surplus and adjacent land holdings, which we're positioning for strategic value realization, including the near-term opportunity at West Dapto. In addition, we can see meaningful upside in our earnings from an improvement in spreads from their current cyclically and historically low levels. And including a reversion of FX, this benefit could be in the range of $500 million to $1 billion. Starting with the near term. In October, we communicated a target of $200 million of cost and productivity improvements. Since then, a lot of work has been done by the team to identify a range of initiatives, which are expected to be delivered for FY '26. Split evenly across North America and Australia and the rest of our portfolio, value is being unlocked through operational and overhead efficiencies, manufacturing productivity and through the better use of raw materials. We're also reviewing further cost and productivity initiatives over and above the $200 million target. And on the cash front, we're targeting a reduction in working capital of $200 million to $300 million over the next 18 months to be delivered across our businesses. Looking further ahead to 2030, BlueScope has a range of initiatives and investments underway to drive sustainable earnings and growth. Now while we've shared these initiatives underpinning our growth ambitions with you for some time, today, we're providing more insight into the earnings contribution we expect over the next five years. North America is a clear driver of growth, but I note that all regions have material contribution to our growth ambitions. And what's most exciting to me is that these initiatives and investments are underway and are all within our core business and capability set. Diving into this regions some more. In North America, we're targeting an annual EBIT improvement of over $200 million. This growth comes from a range of projects across our footprint, including the debottlenecking project at North Star to grow to 3.3 million tons per annum, the turnaround of BCP's business to increase utilization, the development and rollout of our branded and packaged painted product offering, noting that we've decided to defer the cold rolling and metal coating capacity pending successful painted volume ramp-up. And work in the buildings business to drive growth through new products and target segments. As an example of the action we've taken to facilitate this growth, we've moved to a majority ownership of Steelscape and ASC to better support a coordinated national approach to our coated and painted strategy. In Australia, we're working to ensure the growth in domestic and value-added products that we've achieved over the last decade continues into the future, and we're targeting an annual EBIT improvement of over $100 million. Whilst COLORBOND and TRUECORE have seen solid growth in demand, we believe there's still a long way for these products to go supported by a robust outlook for residential construction, favorable demand trends, expansion into other parts of the build envelope such as cladding and our ongoing sales efforts. MCL7, our new metal coating line that's due to come online in 2026, will support this growth and underpins a large portion of our target EBIT uplift. We're also working to displace imports with our enhanced product offering and capabilities with a new pipe and tube mill and the upgraded plate mill, focusing on the industrial, defense and manufacturing segments. Asia and New Zealand are each targeting an additional $75 million of EBIT. Growth in Asian earnings are targeted across the region, largely from volume growth in Malaysia, Indonesia, Vietnam and China. Similarly, with upside from the supply agreement with Tata Steel, we also expect to increase sales in the large and rapidly growing India market. In New Zealand, much like Australia, increased sales of the flagship painted product, COLORSTEEL, on demand trends and customer-facing initiatives will drive growth and be supported by capital-efficient paint line upgrades. The business is also expecting growth in broader domestic volumes with recovery from the current challenging macro conditions. And the new EAF business model presents opportunities for the team to rethink their broader approach to manufacturing, which is expected to also deliver value. In addition to these initiatives and investments, we're also working hard on the opportunities that the land portfolio presents us. In the near term, the West Dapto surplus land provides some exciting upside. There's currently 33 hectares at West Dapto that is zoned residential and is ready for a sale process, and we're looking to release cash from this in the coming financial year. We also have a range of industrial zoned land on the site that has great value potential given its advantaged infrastructure, and we'll be reviewing near-term sales opportunities. And we've accelerated our work on positioning the land holdings that are adjacent to our operating sites for strategic value realization. Our new Head of Property Development has had his feet under the table for just over a month now and has made some solid progress in shaping our approach and thinking. An area of great excitement is the potential these sites have for data centers, energy storage and automated logistics given they're all located with compelling port rail and electricity into interconnector access. These types of uses typically attract values much higher than general industrial land, and we're looking at how we can accelerate the realization of this value. This remains an extremely exciting program of work, and we'll keep you updated as we progress. Turning to the macroeconomic conditions. In FY '25, we're seeing weak steel spreads in both Asia and the U.S. While they seem to have found a floor at these levels, there's clear scope and need for a return to more normal or mid-cycle levels. This presents significant upside to BlueScope's current earnings, even allowing for the cyclically stronger U.S. dollar and the weaker A dollar seen in FY '25. BlueScope is well positioned for the slated U.S. tariffs, with our 3-plus million tons per year at North Star, meeting all the requirements as melted and poured in the U.S. And as such, the beneficiary of the potential steel price support these tariffs will provide. I do note that we export roughly 200,000 to 300,000 tons per annum to North America, predominantly from Australia as feed for our Steelscape business on the West Coast, where we transformed the product into value-added material. Now it's unclear as to the broader impact of any potential tariffs on these exports, as we expect the Steelscape margins will be supported by higher selling prices, and we continue to seek an understanding of whether the exemption Australia received from the Section 232 tariffs will be extended. Now of course, the spreads are beyond our control. And as such, our focus is on the levers of the value that we do have control of such as cost and productivity program and our growth investments. So, I hope that gives you a better sense of the significant opportunity for earnings growth that we see for our business over the coming five years through our approach to managing costs, driving growth and from improved market conditions. I'll now hand you over to David, who will take you through the first half FY '25 results in more detail.
David Fallu: Thanks, Mark, and good morning, everyone. Let's turn to the results across our region, starting with Australia on Slide 21. The Australian business delivered an underlying EBIT of $131 million in the first half '25 and a return on invested capital of 6.4%. Domestic dispatches were stronger compared to second half '24, particularly driven by the residential construction segments. This saw COLORBOND steel sales increased by 9% compared to second half '24. Spread performance was stronger in the half, albeit at long-term lows, supported by lower raw material costs offsetting softer pricing. Contribution from export coke sales was lower compared to second half '24. Looking at the specific end use segments for ASP on Slide 22. Across the board, we saw stronger dispatches in the first half of '25 relative to the prior half. The higher result was driven largely by the residential sector, which was supported by a robust A&A subsegment. The non-residential construction and manufacturing sectors also contributed to the stronger result in the half. We remain confident in fundamentals supporting the medium-term outlook with ongoing shortage of housing stock, combined with strong population growth. ASP business conditions in the first half of '25 continues to highlight the importance of a lean steelmaking cost base and a focus on our growth in domestic value-added products. The business continues to focus on our Australian steelmaking cost base with a necessary ambition for it to be cash breakeven, including sustaining CapEx at the bottom of the cycle. In an Australian manufacturing environment of high and increasing electricity, gas and labor costs, this challenge requires ongoing optimization of our cost base each and every year. The shift of volumes up the margin curve towards value-added products shown in Slide 23 is an ongoing focus and support through the cycle margins. With these dual priorities, we continue to position ASP in the upper band of the chart on the right-hand side of the slide, providing us the confidence to invest through the cycle within the ASP business and informs the rationale for replicating this model in the more favored U.S. market. Turning to the U.S. Our North American business saw a softer result in the first half '25 with an underlying EBIT of $182 million and a return on invested capital of 12.3%. The softer result this half was seen across all our North American businesses with weaker spreads in margins. At North Star, we saw materially weaker spreads however, improved cost performance and higher volumes supported the result. Within building and coated products in North America, margin normalization as well as lower volumes were partly offset by lower costs. BlueScope Properties Group completed two projects in the half, down from three projects in the second half of '24. BlueScope Coated Products continued to underperform its targets this half making a loss due to lower sales volumes. Turnaround efforts for this business are well established with confidence in the positioning of the white gauge portfolio. The medium- to longer-term opportunity here remains attractive, and we're continuing to progress initiatives such as the COLORBOND offering rollout, particularly where they have the potential to provide volume support. Looking at activity levels across our North American end use segments on Slide 25. Activities across key steel consuming sectors remain solid. Non-residential construction activity remains at historically high levels with lead indicators showing resilience. Auto demand remains robust, benefiting from lower interest rates and the consumer preference shift to more steel-intensive vehicles continuing and manufacturing activity is gaining momentum. At an overall market level, we saw rising uncertainty as the U.S. election unfolded, but we continue to expect fundamental activity levels to be supportive as fiscal support remains in place and certainty from a policy and trade perspective is playing out. Stepping into the North Star performance. We want to share with you some more context on the cost drivers that we've seen in North America over the last five years. Over this time, the U.S. steel industry has seen industry production costs increase on macroeconomic and inflationary pressures, primarily in non-benchmark raw materials, including alloys, additives and fluxes, actual versus benchmark obsolete scrap pricing and in begun freight on raw materials. Over the same period, benchmark steel spreads have structurally increased to compensate for these increased costs as mills seek to maintain profitability, with benchmark spreads now averaging just under $100 a ton higher than pre-COVID levels. Despite these industry cost pressures, North Star remains a leading margin producer with performance supported by location and consistent full utilization, as you can see on the chart on the right. Turning to Asia. Our business there saw a broadly similar result to the second half '24, delivering underlying EBIT of $69 million and a return on invested capital of 13.6% in the first half of '25. Another solid performance out of Southeast Asia was seen in the half, led by a strong performance in Thailand. Improved earnings were also seen in Vietnam and Indonesia in the half. China delivered a stronger first half '25 result given seasonality in although a softer result on first half '24, reflecting persistent weakness in the Chinese economy. India continues its breakeven performance as the business integrates growing volumes of coated and painted products under the supply agreement with Tata. The New Zealand and Pacific Islands business delivered a near breakeven result in the first half of '25 with an underlying EBIT of $3 million and a return on invested capital of 2.4%. The significantly softer performance in the first half reflected the ongoing macroeconomic challenges in New Zealand, lower levels of construction activity as well as softer realized spread and elevated conversion costs are all weighing on performance. However, the imminent commissioning of the EAF with competitive renewable electricity supply and the benefit of its cost and productivity initiatives, we are confident that we have a solid business that can withstand the current external challenge and is well positioned to benefit from the improvement in economic and market activity in the region. Turning to the group underlying EBIT movements on Slide 29. The first half to first half movement shows the volatility seen in both steel pricing and raw materials, which contributed to a step down in performance. Also shown is the impact of cost escalation, which offset the cost improvement initiatives in the half. The first half to second half walk forward shows a similar story albeit with more volatility on the price and raw materials front. Looking now at the outlook for the second half of '25 across the regions. In North America, we expect a result around 1/3 higher than the first half, supported by an expected result of North Star that is more than double the first half and a slightly lower performance across the building and coated products segment. In Australia, higher domestic volumes and better performance on cost are expected to offset a slightly softer spread to deliver a result that is moderately stronger than the first half of '25. Asia is expected to deliver a slightly lower results than the first half, largely on seasonality in China. New Zealand is expected to see a modest improvement on the first half, supported by the benefits of their cost and productivity program, and the corporate and group line is expected to be similar to the first half. Turning now to the financial framework and key financial indicators and settings. The financial framework is integral to how we manage the BlueScope business through the cycle. You'll all be familiar with this guiding document, which provides enduring confidence in BlueScope's ability to not only weather industry and macroeconomic cycles but also capitalize them on for long-term quality earnings and growth. The group delivered a return on invested capital of 8.1% in the year to 31 December, with robust contributions from North America and Asia. Our ROIC was delivered on an increased invested capital base as we invest to sustain and grow the business for the long term, which Mark spoke to earlier today. Cash generation before CapEx remained robust despite slight working capital builds, supporting our capital investment program on growth and sustaining projects. Turning to our capital structure. Maintenance of a strong balance sheet and associated metrics enables us to invest in our business during challenging macroeconomic conditions with $88 million in net cash at bank at 31 December. We retain ample financial liquidity of almost $3 billion, supported by our investment-grade credit ratings from both Moody's and S&P. On capital expenditure, in the first half of '25, we continued to progress a range of foundation and growth initiatives, including the MCL7 coating line project, the New Zealand EAF project and the blast furnace reline project. In the second half of '25, we're expecting a step-up in gross spend most notably in the blast furnace reline with a similar spend on the range of projects in the first half of '26. More information on the capital spend profile for these projects is included in the analyst support materials available on our website. Turning to shareholder returns. As Mark mentioned at the outset of the call, the Board's increased the annual ordinary dividend level to a target $0.60 per share per annum range in August, which reflected the increase in scale and resilience of the BlueScope portfolio as well as our reduced share count. Aligned to this target, the Board has approved the payment of a fully franked interim dividend of $0.30 per share. The buyback remains an important component of our capital management strategy with over 150 million shares bought back and canceled since 2017. Today, the Board has approved an extension of the buyback program to allow to be used over the next 12 months. Noting as usual, any buyback activity will consider prevailing economic conditions and other factors as part of its execution. With that, I'll hand it back to Mark, and we'll be here for Q&A at the end. Thank you.
Mark Vassella: Thanks, David. Before we take your questions, I'd like to reemphasize the true value in the BlueScope business. Over its extended history, BlueScope has built something special, a steel producer that stands apart from others, owing to five key factors. First is our strategic asset base. In the U.S., we operate what is considered the best EAF facility in the industry. Combine that with our extensive manufacturing network across Australasia, and we have a truly unique platform. But hardware is only part of the story. We're a global leader in metal coating and painting with a portfolio of iconic brands that does just give us wide recognition but also drives margin enhancement. This growing premium positioning has been a key to our success. We maintain a robust balance sheet and follow a disciplined financial framework that served us well. Our assets, brands and in-country, for-country strategy underpin the resilience of our business model. The numbers tell the story. Since 2017, we've returned over $3.5 billion to shareholders through dividends and buybacks, whilst investing $3 billion back into the business for growth. That's a balanced capital allocation. But here's what gets me most excited, our growth pipeline. We have concrete initiatives and investments well underway that are focused on strengthening and growing our core business. We're targeting an annual EBIT uplift of around $500 million by 2030. And that's not a pie in the sky number. It's based on the specific projects and opportunities we've identified and have been talking to you about for some time. In the steel industry, you need three things to win: strategic assets, operational excellence and financial discipline. We've proven we have all three. And we're not just talking about potential we're delivering results today while building for tomorrow. So, thanks for your time this morning. And with that, I'll turn it over to Q&A.
Operator: [Operator Instructions] Your first question comes from Peter Steyn from Macquarie. Please go ahead.
Peter Steyn: Congrats on a lot of good detail in your pack. Particularly, I want to focus on your FY '30 numbers. If I'm correct, that sort of tallies to a number of somewhere between $1.6 billion and $2.1 billion, depending on the adventure you tune FX. Maybe you can just confirm that, that's mentally the correct arithmetic. But -- and then, could I ask a detailed question around the costs and particularly the efficiency gains. You've mentioned the '26 you want to achieve that with run rate today, and is that the full $200 million in FY '26 from an efficiency point of view?
Mark Vassella: Yes. Thanks, Pete, and thanks for the question. Yes. So, look, the math's right. I mean, we've laid out the detail. And perhaps, what I would say right from the get-go is there's nothing really that's particularly new in our presentation. What we try to do is just call it out a little more clearly, and we put some time frame around it and some run rate, but we've been talking to you guys for some time now about the initiatives and the investments that we're making. So, there's nothing new from that perspective. Of course, the assumption around what happens to the market who knows we put into our pack, what our assumption is. And all we know is that we'll be wrong, but you guys can use whatever numbers you choose to. So, you're right, the math is articulated there on Slide 11 in terms of what the uptick is. The cost out and productivity stuff might, I mean, what I'd say to you is, and we said this at the last half, this organization has a really strong history of being able to respond to those sorts of issues. We came through the crazy COVID period. I wouldn't say we took our eye off the ball. It just was very congested, very complicated, very, very constrained and what the post-COVID period has allowed us to do is to step back and rethink and cut the cost to suit. So, a power of work being done across the businesses, all of the businesses, which is most pleasing, and what we're targeting is that $200 million is at full run rate by the end of FY '26. So, that's the assumption we're making. That's what's built into the forecast.
Peter Steyn: And then if I may just extend that on the CapEx front for that growth, it looks like you're sort of talking about $1.3 billion. Again, it's stuff we all know about after the deferral of the midstream investments. So very clearly, a very strong return on investment capital impact there. Could you give us a sense of how you're thinking about the midstream investments in the U.S. given the policy environment that's evolving so far? Under what conditions does that come back? And would that factor in FY '30 potentially as an uplift at some point in the future?
Mark Vassella: Sure, sure. I think we've got about 1.5, 1.6 remaining that number. So, you're very -- you're bang on basically bang on that number. The way we're thinking about the midstream, Pete, is we want to build that downstream volume, support that investment. We're thinking about other ways to do that. We're thinking about material -- building the tolling volume in the business. We're thinking about using not necessarily the proprietary AM substrate to build capacity, and at the right time, we'll make that investment. I mean the other thing I would say to you is there's a lot going on in North America right now. There's lots of balls in the air. And we've said this to you before, I want to keep as much optionality as I can before we make a commitment around an investment of that scale. So, some of this is just us making sure that we're in the best position. We have all the information we need. We've exhausted all the options before we make a decision on investing in that sort of capacity. So that's not a definitive answer, but I think you can probably take from that how we're thinking about it. We're very careful about how we invest our money. And we just want to make sure that we've got all the information we can before we make that commitment. But in terms of the longer-term strategy around that coated and painted space, I mean, have skewed in that detail, I think a really important point with us being able to deal with the coated and painted market nationally now in the U.S. given the change on the West Coast with the joint venture. So, that's another plank in the strategy around building capacity in that coated and painted space or the downstream markets in North America.
Operator: Your next question comes from Lee Power from UBS. Please go ahead.
Lee Power: Just following on from Pete's question around the 2030 growth target. So, as you mentioned, CapEx associated with that is largely unchanged. The bulk of that is complete in FY '27. So, it's obviously well ahead of the 2030 target. Any color on how you think we should bridge to the $500 million EBIT target, given that backdrop with the bulk of the CapEx kind of almost done in the next 12 months?
Mark Vassella: Yes. There's some complexity there, mate, obviously, in terms of the timing. You're right in terms of the timing of the completion and how we're thinking about it, it's going to be dependent on the market, how we're growing share in North America, the continued growth of share of COLORBOND and TRUECORE in Australia. So, there's lots of moving parts in that. So we haven't obviously gone to the specifics of line out a time frame in great detail for you, but we're well into those investments now. I'm really pleased with the way our teams are managing the capital investments under significant pressure still in the markets. We've had no nasty surprises from a capital perspective. So, we're well down the track on MCL7, well down the track on the blast furnace, underway on the plate mill, completed the pipe and tube mill, starting the process. I was in North America just a week ago, starting the process at North Star. So, I'm really quite confident in the investments that we're making. And some of it will be dependent on some of the external factors like the market, but -- so I haven't given you the specific details. But as we go, it will become clearer. We'll be able to give you more information but your macro assumption around where the CapEx is at and when we'll have that completed is accurate.
Lee Power: I appreciate what you have given us has been good. And then a second question, I mean I feel for you having to put assumptions out there around spreads, given there's obviously a lot of moving data, particularly in the U.S. where we're tracking well ahead of the 340 that you talk to. I see the sensitivities around North Star are kind of unchanged. But sorry, the slightly lifted, which makes sense. I'd just be keen on any color around like price realization or channel inventories. Obviously, tariffs are important, but it just be interesting, is there any other reason of what you're seeing on the ground as to why we shouldn't be kind of the just looking at that spread data as it moves and thinking that that's pretty sensible for tracking your earnings in the near term?
Mark Vassella: Yes. Well, I mean, you can only use what you've got, right? I mean we watch what's happening with inventory levels in the service centers. We watch the key macro indicators for us in the segments that we're exposed to that we share that with you, the buildings, the auto, the industrial and commercial. I mean I would say, having been there just a week or so ago, the first thing I'd say is the places in complete turmoil. The new administration has certainly turned Washington, D.C. and I see if nothing else. So, I think that's just going to take a little bit of time to settle down, Lee. But if you look at the underlying demand that we see across the country, if you think about the potential for reinvestment and the confidence that will come from some of the policies that the new administration is putting in place, I still think we're really well positioned for that. So again, timing by half is difficult for us to forecast, but I'm still confident that the U.S. is the best steel market in the world to be invested in. And I would think that the outlook for that is quite positive. I mean we're clear in terms of -- you're right. All we can really do is we give you an idea of, well, we give you our assumption on spreads. As I said at the start, all we know is that we'll be wrong, but we give you our assumption and then you guys can look at that from your own perspective, but I'm still really confident in the underlying position in North America and our position within that market.
Lee Power: Yes. I appreciate that. It's nice waking up and seeing the price going down.
Mark Vassella: Yes, correct.
Operator: Your next question comes from Ramoun Lazar from Jefferies. Please go ahead.
Ramoun Lazar: Just a couple of questions for me. Just your comments around the higher domestic volumes at ASP in the second half. It sounds like you've probably seen the low for resi demand. Is that the way I should be reading that?
Mark Vassella: Eric, and that's our call remain. We think we're kind of at the bottom, team are doing a spectacular job with COLORBOND. We're still growing share, which is great. So, I think we're at the bottom of that cycle. And depending on what happens, I haven't seen a flash hit. I think it's too early for the RBA. But depending what happens with interest rates, we'll potentially see some favorable macro to support us bouncing off the bottom, still really strong in A&A. That pre- and post-COVID lift in A&A has been maintained. And I think that goes to some of the issues around housing affordability. For example, people are renovating and extending rather than building new homes. So, as we've talked about in the past, I think the ASP team have positioned COLORBOND beautifully to take advantage of the growth and the current trends around building, and I suspect we are at the bottom of the cycle as you call out.
Ramoun Lazar: Yes. Okay. Great. And Mark, just on North America, I mean, the downstream businesses there looks like weaker kind of guidance relative to expectations. I mean you've called out the coated business. Just on the Steelscape and the other sort of coated products business, just wondering the lags in passing on sort of higher price increases. Is that -- is the higher price changes? Sorry, is that what's driving some of the margin weakness in those downstream businesses? And should we expect that to reverse maybe from the first half '26, if the current pricing environment holds?
Mark Vassella: Yes. So, we have an end, a more extended supply chain than we would typically have at Steelscape, it being largely an importer of product into its market. And then in our buildings business, as you know, we tend to have projects there that are booked well in advance of when the product starts by the time, we get the engineering done and the like. So, what we've seen post-COVID -- again, it seems a long time ago, but what we've seen post those very high steel prices were, has been our margins improved on the downside, but of course, you get some of that the other way when prices are increasing. What the team have done, I would say, in North America is they work on a model where there's less of a lag, particularly in the buildings business. In that space before we kind of got caught out with the movements in steel prices, in that business, it was often, it could have been up to 12 months, quite frankly, as a gap between when you get a project and when you start construction. So, there's been some more tools put in place to ensure that we've got better control of the margin management in that business.
Ramoun Lazar: Okay. Great. And just one more for me. Just on the Dapto resi development there, I mean, how should we think about the costs of getting those sites really to bring to market?
Mark Vassella: Look, we obviously, we'll call that out when we get to that point. We've got Michael Yang, who's just started with this, I think I said a couple of minutes ago. He's only been with us a month, he's on it now. It's a separate piece of land isolated from the Steelworks doesn't have some of that complexity of the adjacency of being near our steel business, and Michael is working on that right now. But as we close in on that opportunity, I can't give you a cost number. I don't have a number off the top of my head. But as we get to that opportunity and what it looks like, we'll obviously disclose what the costs are and what we think the opportunity is. But we think it's something we can move on reasonably quickly, particularly the residential component of it, Ramoun.
Operator: Your next question comes from Daniel Kang from CLSA. Please go ahead.
Daniel Kang: Just want to clarify with a target of $200 million in terms of cost and productivity improvements. Does that include inflationary costs? And what is your -- I guess your expectation of annualized inflationary or cost escalations for the group now?
Mark Vassella: Dan, so I mean, the numbers we're talking about are net numbers. If there's something that emerges that's out of our forecast, then that would be an adjustment to that, an offset to that. And we called that a year or six months ago. The dramatic impact that we were seeing in energy costs in Australia, $50 million. So, look, we track those and make our best estimate. But if something comes out of the woodwork, then that would obviously have a negative impact on those targets that we've set.
Daniel Kang: And expectations of inflationary costs on an annualized basis?
Mark Vassella: I mean you're -- we're several percentage points right is how we kind of think about it. We get an understanding of what's happening from a labor point of view. But more broadly than that, we don't have any more sophisticated models than probably the same sort of same sort of information you guys are looking at in terms of what the inflation numbers will look like.
Daniel Kang: Got it. Got it. And if you can just provide some color on how the BCP or core coatings transformation program is progressing?
Mark Vassella: Yes, it is progressing. I know I probably seemed like a bit of a broken record on this one, but it is progressing. We've made some changes to the leadership. We've built capacity. The team making inroads is an extensive body of work under the project name of Boost, which is underway, multiple on all fronts, quite frankly. We've taken some shift adjustments in one part of the business, the heavy gauge part of the business. We're seeing some positive signs on the light gauge component of the business, which is five of the seven paint lines. I think we've now finally resolved the inventory issues. And as I said, we changed the leadership out and John Nallen is running that for us. We've gone through a process of looking for a leader for the business in the longer term. So, there are some green shoots there. It lost money in the half. It wasn't a material amount, but it lost money. So, it's still performing well below our expectations. But Christie and the team are on it, and we're starting to see some more positive signs. So, we'll keep you up to date with that, but it's yes, still well below what our expectations are.
Operator: Your next question comes from Paul Young from Goldman Sachs. Please go ahead.
Paul Young: Great to see the details on the cost out program and also the 2030 targets. Mark, first question is on the Australian Steel Products business. And Greg, you've called out effectively the bottom of the housing cycle. I just want to dig into those longer-term targets that you presented, which look pretty compelling, the 2.7 billion tons of domestic buying for FY '30. Can I just confirm that sort of what goes into those assumptions? Is that you're just operating at full capacity on metal coating and painted? Or is that what you think the, I guess, the contestable market is that you can sell into?
Mark Vassella: It's both. Yes, it's both, Paul. So, by that time, we'll have MCL7 up and running, and we continue to expect to see share growth in COLORBOND. That's been a long run trend for us. TRUECORE, it will give us more capacity because we were tied on metal coating plate mill activity as well. So yes, that's exactly what's gone into those outlook numbers -- those forecast numbers. Please don't put it in your headline that I've called the bottom of the housing market, though I'm not that smart. That's just my perspective. But we're clearly expecting that those investments, we'll be able to build the capacity into those assets as we bring them online.
Paul Young: Yes. Okay. That all makes sense. And then back to the U.S. and looking at core coatings and again, just on those FY '30 target of 600,000 tons. So, I think that's excluding Steelscape. That number does seem a little bit conservative seeing as the installed capacity is, I think, 900,000 tons or so. And just noting that some of your peers in the U.S. who are obviously got better market penetration at the moment have sort of come out with sort of some pretty positive sort of growth numbers in the next 12 months for painted steel demand growth and also margins. So, I just want to just again, step through, what's the underlying assumption with the 600,000 tons because it doesn't seem pretty conservative. So, assumptions with respect to utilization or more, I should say, market penetration?
Mark Vassella: Yes. I mean I'll just be a little careful. We're not going to give you all of that detail. I mean, I can probably be accused of being a bit conservative in that space. I'm probably a little bit gun shy in this space as well, quite frankly. So maybe that's just some more upside in what the outlook might finish up at. You can see we started at about 500,000 tons. We've dropped back. We grow it to 600,000. If I'm wrong, and that's conservative, then that's a good thing, mate. So, we I'm not, we're not going to go into the detail of utilization and those sorts of things. We're new in that market. We're trying to build it. We're trying to build it both from a toll processing perspective, but also from a packaged and branded off single-bill offer. And there's a range of assumptions that are going into that, but we're not kind of sharing that detail.
Paul Young: Yes. No, that's understood. And then just lastly, on West Dapto, I might have missed this, Mark, I mean, it was a good pitch as far as the quality of that land. But just what's your expectation of potentially a range on value for West Dapto?
David Fallu: Look, you've actually seen associated sales in the area. So that's probably the best look-through perspective on residential land, which is probably the most immediate opportunity there for the 33 hectares. So, that's probably what I talked to you about, and that's the, you can kind of see the residential land butting up in the picture next to the 33 hectares that we've got.
Operator: Your next question comes from Brook Campbell-Crawford from Barrenjoey. Please go ahead.
Brook Campbell-Crawford: Just first one on the buyback. Just to clarify, should we assume the buybacks effectively on hold in the second half based on your earnings guidance and CapEx? And basically, buyback will be active if there's proceeds from land or if there's improvement in spread. Is that the right way to think about it?
David Fallu: Look, all things being equal, things are -- all things are never equal. So, I guess, we, in this environment, Brook, we do have to take a reflection of all the factors that are going into play. We've obviously got a relatively volatile external environment, where we've got a number of opportunities internally within the business, and they will be the things that inform our process to buyback. I think in that context, it would be fair to say that in a more normalized and steady environment, you have a less nuanced approach than you do when things are volatile as they are.
Brook Campbell-Crawford: Understood. And just second question around North Star in the past. You talked to 3.5 million tons. I think that was changed last year. But just to clarify, is 3.5 tons has a target sort of off the table, no longer likely? Or is that potential upside that you could look to execute some further initiatives at some point between now and FY '30.
Mark Vassella: Yes. What we called out with the debottlenecking, Brook, was that we had in that scope of work in to 3 to 3.3. The team at North Star have got a long history of continuing to find ways to eat more out of that asset. And I would expect that, that will happen post the debottlenecking. So current target 3.3, but I suspect there's some more upside in that asset, absolutely.
Operator: Your next question comes from Owen Birrell from RBC. Please go ahead.
Owen Birrell: Just a quick one, just delving into that Steelscape, increased to 51%. Can you just confirm whether or not there was any additional investment that you had to basically pay for that additional, call it, 1%. And then just secondly, just confirming that Steelscape was not consolidated in the first half and will the consolidated at 100% in the second half?
Mark Vassella: So, I'll confirm the acquisition, and then I'll get David to do the technical accounting answer for you, Owen. Yes, we did pay an amount of money for that 1%. It was not material, high single digits, let me say that to you. We haven't disclosed it, but it's not material in terms of the...
David Fallu: Yes. We have operating control of the asset already. So, it's already consolidated in our accounts. There will be a small adjustment for the 1% increase.
Owen Birrell: Okay. And just a second question for me with regards to the New Zealand business. I recall the previous guidance was for a fairly in-line result there. Just wondering what changed so materially and when to see the result and effectively at a breakeven result.
Mark Vassella: Yes. We were expecting some improvement in the macro and we saw none of that. In fact, it went the other way. Robin and the team there are working hard on the cost base and they're having some impact on that. We're effectively pulling forward the operating model that will exist under the Electric Arc Furnace. The investment around the Electric Arc Furnace is going ahead. We had in the first half some extraordinary energy cost numbers. That's then eased towards the back of the half and it's bounced back again. I mean we've got the poster child of energy mismanagement in New Zealand. I suspect we're probably going to see it unfold in some of the states of Australia as well, quite frankly, but just ludicrous swings in energy costs. So, that business has been under quite a bit of pressure. Macro has been very soft. I know the new government, albeit it's not that new now, but the government there, I know now is, seems to be very actively trying to rejuvenate the economy and gets to activity going some faster approval processes for major capital projects, infrastructure projects. So, we're looking forward to that in the second half, but yes, underperformed our expectations and probably saw it early on, win. It wasn't too long into the half before we realized they weren't going to do what we thought they were going to do.
Owen Birrell: You mentioned just the swinging energy costs, the new EAF, I would imagine, would be more I guess, energy-intensive than the previous mill. I'm just wondering whether there's any sort of protections that you've got there, or are we likely to see, I guess, more exposure to, I guess, spot energy costs?
Mark Vassella: Yes. No, it's actually a very similar amount of electricity that we use under the existing model and the new model. Of course, what the EAF gives us is a much greater level of flexibility and interruptibility, which is valuable in an energy market like New Zealand. So that's the flexibility -- some of the benefit that I talk about when I talk about the flexibility of the new model. But yes, it's actually a very similar amount of electricity usage under both models.
Operator: Your next question comes from Harry Saunders from Evans and Partners. Please go ahead.
Harry Saunders: Firstly, could you just give us a sense of maybe the net realization you're seeing in the mid-single-digit February price increasing in COLORBONDs and customer feedback and volume impact, please?
Mark Vassella: It's on track. Harry. We've made the announcement. I mean, the typical process in Australia is we give the channel six months notice, to allow them to work through contracts, all those sorts of issues. So, it's underway. And there's nothing that I would say that's material or significant that we need to update, we need to update it sort of a CPI level increase, nothing that we need to update or change.
Harry Saunders: And maybe just on the cost out. How much is actually anticipated in that guidance for the second half that you're realizing of the $200 million, please?
David Fallu: Yes, Harry, not a material amount for the second half. There will be a little bit that comes in as a bring forward. But as Mark said at the start, that's effectively the full year benefit of that is in FY '26.
Harry Saunders: Okay. Got it. Just wondering as well in coated products U.S., we've talked a bit about this, but could you quantify the upside there? And then perhaps, therefore, what is the balance of the sort of $200 million, please?
Mark Vassella: So, I've talked about this before. I mean the way we try and measure our -- or the way we measure our investments, Harry, are -- we're expecting a 15% return on invested capital. We spent $500 million on that business. So that's our expectation, and we're obviously well below that. So, that allows you to understand the delta from where we are and where we need to get to.
Harry Saunders: Great. And in the New Zealand business, just wondering if you have a view on the mid-cycle EBIT post the EAF opening and where you could take that by 2030, given the $75 million upside implied.
Mark Vassella: Well, that's incorporated in that $75 million forecast, obviously. We're well below where we would expect to be mid-cycle right now in the New Zealand business. As we said at the time, with the EAF approval, it doesn't really change the profitability of the business pre and post. What it does do is give us a lot more flexibility and things like interruptibility of power supply that I just talked about with Owen, there will be value that comes out of that certainly, but we haven't really forecast that. So that sort of $75 million improvement that we've talked about, that's clearly over and above what we would see the mid-cycle numbers to be in New Zealand.
Harry Saunders: Just finally, wondering if you have an initial sort of ballpark view of the surplus land valuation, perhaps the time frame to realize that total portfolio?
Mark Vassella: Well, we've talked about the West Dapto in the next 12 months and the opportunity potentially for us to realize some value from that. On the broader portfolio, 1,200 hectares adjacent to our facilities, that's more a medium- and longer-term number so, and outlook. We've got to think about that much more carefully in terms of how we utilize it. But certainly, we think there's obviously enormous opportunity. There's some numbers that have been published around the broader portfolio in the sort of $300 million to $500 million I've seen published from some of you guys around the valuation. I wouldn't speculate on anything more than that at this stage. It's just really going to depend on how quickly we choose to develop it and what the opportunities are. I would have thought those numbers are reasonably conservative given the size of the land and the opportunity with infrastructure.
Operator: Your next question comes from Lyndon Fagan from JPMorgan. Please go ahead.
Lyndon Fagan: My first question is just back on North Star. So, the non-spread costs, just wondering if you can give us a medium-term guide on that. It looks like we're sort of hovering around the 300 mark per ton in FY '23, a bit lower than that in FY '24, and it's sort of coming at around the 240 mark. Just trying to delve into that again and looking for a medium-term guide.
David Fallu: Yes. Look, I think it's a difficult one. Obviously, Lyndon, those factors are typically outside the team's control and are reliant on the broader market delivery. What I would say is that important to that is we feel as if we're purchasing as well as any other manufacturers in the industry. So, I think to a degree, the rise and fall of that is also replicated with the rise and fall in pricing as manufacturers try to recapture that. So, look, we'll continue to work hard in that space, but providing a longer-term guidance is difficult.
Lyndon Fagan: Okay. And just to confirm, that number includes operating the scrap facility there?
David Fallu: Correct.
Lyndon Fagan: Yes. And the next question is just a bit more strategic. So, the deferral of the $1.2 billion downstream investment in the U.S., obviously, a big thing. Wondering, if we can maybe run through that in a bit more detail. So, is that related to, I guess, the free cash flow position of the business today. I mean we're sort of cyclically low type numbers there? And is there an inability to kind of execute that in the near term given balance sheet constraints? Or is this more around just not seeing the opportunities? I mean I think some of it, there was a build versus buy question that we were running through in the last few results. Yes. Just wondering, if you can shed more color there because it seems like a fairly big strategic move. And is it now a post-FY 2030 thing?
Mark Vassella: Yes. So, I mean, Lyndon, there's a lot to unpick in that question. And the various issues you touched on are all of the things that we think about as we go through a large investment proposal like that. So as I touched on in one earlier questions, we need to make sure that we've got a build and confidence around the downstream requirement and the work we're doing around that, both within BCP on a tolling basis and a single bill basis, the work we've done around the change in ownership structure on the West Coast is all a component of that. Of course, we're very cognizant of our current capacity to pay and the amount of work that we've got on that comes into our large investment decisions as well. And again, and this is a little cryptic, but I'm sure you guys understand what I'm saying, there's an awful lot going on in North America right at the moment in terms of ownership of assets, structure of the industry, and I don't want to commit too early if other opportunities emerged. And whether that's purchasing material from other players and putting it through our own channel, whether that's purchasing other assets that might fall out of some rationalization or whether we invest and build the capacity ourselves, they're all scenarios that are possibilities right now, given the structural changes and the state of the United States steel market. So, I don't want to go too early. So, from our perspective, it's, it's all of the above, and I'm not trying to not answer your question, but all of those things you raised are all of the things that we think about before we would make a very large capital commitment like we signaled with the Midstream investment. So hopefully, that answers your question.
Lyndon Fagan: Yes, that's good color, Mark. So, I'm guessing that either post FY 2030 strategy now.
Mark Vassella: Well, I think it depends on -- I mean if we decided in the next couple of years or the next year, for example, that we wanted to invest in the asset, then typically, you've seen it with MCL7, it's a two- to three-year time frame, in terms of an investment like that. So, if we were to decide in a year's time that we were going to give it green to go, then it would be pre-2030, it would be early, but late in the so to be not far from 2030, just given the time frame for us to construct an asset like that. So, it really does depend on when you decide to hit the go button as to, obviously, when you can get underway and get it going, but they are typically a two- to three-year investment profile.
Operator: Your next question comes from Rohan Gallagher from Jarden. Please go ahead.
Rohan Gallagher: Hopefully, I'm the last, maybe the least important, but most questions surprisingly, not surprising we have been asked and answered. So, thank you for the increased disclosure and credit to the Australian team to whether the structurally challenging energy costs we're going through at the moment. Just to clarify, with your second half guidance, the cost saves, you did $25 million in the first half. David, is that sort of the sort of ballpark you're looking at for the second half in terms of what's ensued in as part of your guidance?
David Fallu: Yes, that's, that's correct.
Rohan Gallagher: Okay. And just associated with the cost saving program, and thank you for the added detail, normally, when you did a material cost out like this last cycle, it led to significant item charges. Conscious of the cost-saving program and also some of the asset values and the current earnings profile, should we be seeing any significant item charges expected in the not-too-distant future as with those two projects?
David Fallu: Yes. Look, not to a material degree. Rohan, a lot of this is kind of efficiency and optimization, which doesn't have a structural element to it. We have flagged that some of the work we're looking at does incorporate structural changes moving forward, but that will be sort of reviewed at the time. And if we go forward with that, then you're correct, we've typically taken that as an adjustment to underlying earnings?
Rohan Gallagher: And just, David, in terms of the performance, specifically the U.S. coated acquisition price, US$500, therefore, you'd be targeting something in the order of US$75 sustainable EBIT. Are you still comfortable with the carrying value of that asset at this particular point in time?
David Fallu: Look, we'll continue to review that at every period end. And obviously, the team's turnaround plan needs to have a forecast that supports the asset base and the plan we have in place is consistent with that.
Rohan Gallagher: And finally, guys, just a clarity, the guidance that you provided for the second half, and I share the thoughts of a previous question and the views on having to do that. But is West Dapto included or excluded from your guidance for the second half, please?
David Fallu: Yes, it's excluded. And I think we've incorporated that as a potential realization in FY '26.
Operator: Your next question comes from Keith Chau from MST Marquee. Please go ahead.
Keith Chau: First question on the U.S., maybe this is a bit of a nuance point, but Mark, you mentioned you've recently been over the same terminal. I think a lot of corporates are, I guess, pausing on their investment decisions at this point in time. So, it doesn't sound like supply/demand has moved that materially in the last few weeks. But can you help me understand what you think has been driving the steel prices and steel spreads higher? I know it sounds like a bit of an obvious question, but as the industry discipline improved that much in recent weeks? Or is it the tariffs do you think have helped the market just start to really lean into those price increases that we started to see basically at the end of last year?
Mark Vassella: Yes, Keith, I think, so I don't get misrepresented. The terminal I was probably talking about was more in Washington than anywhere else. We've got hold bunch of bureaucrats that are trying to deal with a very different approach to -- from this administration than they had typically in the past, but I think you're on what we're starting to see in North America. I just think there was a degree of uncertainty as the administration changed, what would it look like, what are the early signals around guidelines. And I think the new president is being very clear about what he wants to do the support is going to give American industry. And I think naturally that has led to more confidence, some restocking, firming in pricing. The tariffs have clearly helped I think what you're seeing play out is as we expected, where post the administration change, things would settle down and we'd get back to business. And I suspect that's what you're seeing, Keith.
Keith Chau: Okay. And then a couple of questions, David, for you. First one, with respect to the CapEx that was spent in the first half and also into the second half. It looks like numbers have actually come in slightly below prior guidance, only very marginally for sustaining, but with respect to growth, the numbers are lower. So can you help us understand whether that is timing, whether you're doing as projects more efficiently. Are there any other movements in there that we should be considering?
David Fallu: Yes. So, Keith, the expectation is that, that would be timing. So, the projects are still on track. But as we work through these are major projects and whether it's weather events that we've had within the MCL7 delivery, which caused some delays. We're not seeing that as changing the envelope of the overall spend. So predominantly, Keith, it's a timing issue.
Keith Chau: Okay. And maybe a follow-on for that, David. I think in prior guidance, you've talked about reducing working capital, particularly at the August result last year, but it doesn't look like when capital has moved too much, in fact, it's probably gone up a little bit because of payables. So, are your expectations in respect to working capital going forward, please?
David Fallu: Yes. So, Keith, in terms of affecting that, we're seeing that coming out over the course of the next 12 to 18 months. Yes, we've indicated what we are looking to drive. It's slightly means that the working capital position will be elevated versus history, but there are inflationary aspects in the working capital base that won't be able to be changed when you're looking at a bigger denominator of debtors.
Operator: Your next question comes from Scott Ryall from Rimor Equity Research. Please go ahead.
Scott Ryall: I've got two questions. Both are on coated products, one in the U.S. and one in Australia. So, in the U.S., you've had John in there for the best part of six months now. I'm wondering if you can give us a little bit more color around what he found so far in his review that's going to enable, I think you've termed immediate response or very short-term turnaround in that business? And I guess the second one is what is the prospect for growing that business if you don't have a COLORBOND style product as opposed to a product that looks pretty similar to what's offered by a lot of competitors, please?
Mark Vassella: Yes. So, Scott, John's went in there just a few months and he's in it up to his bootstrap. I don't want to dismiss an enormous amount of work that was done by the prior management before John went in, and much of the work we talked about in terms of the improvement program was well underway. John has gone in, and he's got a very unique perspective given his incredible experience with us, so he's accelerated some of that, got a real focus around the operations, which you would expect someone like John to bring and that's starting to have an impact certainly. What we bought, Scott, at the start was a tolling business, and that tolling business has been dramatically impacted by the underperformance of the foundation customer that we purchased it from but there's still a very large tolling market in North America, and we would expect, I would expect that there's an opportunity for us to continue to be a toll processor in that space. The opportunity that we saw with the underutilization of the assets, what we still think today is a very low purchase price for the assets versus replacement cost for the assets that we've acquired. What we felt at the time was that there was the opportunity to build the COLORBOND/single-bill approach, and that's really the work that's happening now. So, I would expect that there's -- the plenty of capacity and opportunity for us to operate in a tolling business. And I still see very strong upside and potential ultimately in a single bill offer and an emerging market, particularly in that residential space, as you've heard me talk about before. So that would be a scenario if for some reason, we didn't think our COLORBOND type product would work. You would have a tolling business that you continue to operate. That's not what we think, though, but that's how -- that would be the answer to that question.
Scott Ryall: Okay. And then in Australia, I think you've mentioned, well, you mentioned during your prepared remarks that cladding is an opportunity you're looking at. Could you just talk through the enabling steps that you think you guys need to deliver on before you can actually get a product that can be utilized more broadly in the market? And does that require the investment that you mentioned was coming out in 2027, I think you said was the finish date for MCL7. Is that necessary for looking at the clotting opportunity? What else do you need to do product development-wise to really go after that, please?
Mark Vassella: Yes. MCL7 is necessary for us to build more capacity. So that's another 240-odd tons of metal coated capacity that then allows us to continue to grow our share in either TRUECORE training or COLORBOND roofing and/or cladding. The cladding issue is an interesting one for us. I know Tanya and the team have been working on issues around installation, how we make it simple to install. I mean, it's a fabulous product. And if you think about it relative to something like the aluminum alternatives, it's a very different price point on a lean the color palette that we've now got in place, particularly the mat colors are lending themselves to cladding as an alternative. It seems to be very much on trend and popular. So, I think we've got favorable demand conditions for that, and the team within ASP are really working on how do we come up with a solution that's very simple to install. And of course, that's one of the enablers for us to continue to grow in that space. So, that's the sort of work that's going on. It doesn't need large capital investments around product development from a cladding perspective.
Scott Ryall: Okay. Great. But that capacity obviously helps if the market takes off, so that...
Mark Vassella: Yes, it does, Scott. I mean we, quite frankly, we, during COVID, we ran out of metal coating capacity, and hence, the decision for us to go with MCL7. So, yes, it does give us another 240,000 tons of capacity that allows us to grow into those markets.
Operator: Your next question comes from Paul McTaggart from Citi. Please go ahead.
Paul Joseph: Must be a bit and answering all these questions when I drink just…
Mark Vassella: I saw your name. We're always going to get you. You don't worry.
Paul Joseph: Yes, eventually. So, look, with the U.S. business, right, you export out of Australia into that West Coast market. I mean I'm talking the West Coast business, let's assume tariffs come through, we don't get an exemption. How much domestically in that West Coast market, do you think prices move up? I mean there's quite a lot of imports going to that West Coast of the U.S. Do you think you may basically get it all back by increased pricing? Or do you think you were the tariff impact?
Mark Vassella: That's the assumption you got to make. I mean what we saw last time was we saw prices increase up, Paul. So, I -- you're going to make an assumption if there's a 25% tariff in an import market like the West Coast, the prices are going to go up 25% or else people are eating some of that cost increase. So, that's the range that we're operating in right now. If we got to pass like we did last time, then that's great. We'd get the benefit of the price increase because other imports would be hit by the tariff. If we don't get a pass, then I mean my base case assumption is that prices would move by the 25% is how I'd be thinking about it right now.
Paul Joseph: Okay. And with the economics of trucking in the U.S., it's steel, I mean you should still think of it as kind of a discrete market that's separated from that East Coast production?
Mark Vassella: Yes. Yes, absolutely.
Operator: Your next question comes from Chen Jiang from Bank of America. Please go ahead.
Chen Jiang: David, a lot of questions got asked, but I still have two follow-ups, please. So firstly, on your second half FY '25 outlook. So, if I sum up the business segments, you provided, excluding North Star, it looks like they are probably flat half-over-half, but excluding, not, so does that mean the main earnings driver if I compare half-over-half for eBay for the second half. The main driver is just from North Star. Is that a fair assumption?
David Fallu: Yes, that's a fair assumption with where spreads have been versus what we've assumed in the guidance range.
Chen Jiang: Yes. And then so the North Star, you provided the spread assumption to drive your EBIT outlook. So, U.S. spread half-over-half improvement under your assumption is US$25 per ton, but the EBIT from star is expected to double. So, I'm wondering what else is driving the doubling EBIT from those or mainly because of the $25 per ton U.S. spread.
David Fallu: Yes, no problem. I guess there's the lag impact of spread into that business going into the half. cost and volume are the three deltas that primarily drive that change for North Star.
Chen Jiang: Okay. So, there are some cost benefits coming through.
David Fallu: Yes.
Chen Jiang: Okay. Okay. All right. And then maybe last question. I understand all the questions got to ask. And then Mark, as well as say that you provided very good color on the cost-out initiative of $200 million annualized to deliver in FY '26. Does that mean we are expecting incremental $200 million improvement in EBIT level from FY '27? How -- if you can give us some confidence or conversion, how are you going to deliver this? Because on the current environment to drive cost initiative is very hard for steel or industrial companies?
Mark Vassella: Yes. It's very hard, Chen. There's no doubt about it, but that's what the teams are working on. And I'm very confident that, that $200 million will be around in 2026 -- at the end of 2026 say for something else changing. As I said earlier, we called out a year ago, six months ago, the impact of energy, save for some sort of shock like that, I'm very confident that teams will get the $200 million by 2026, but it's not easy. I agree. And I know because I'm seeing how hard the teams are working on it. But we've got a good track record of this, Chen. We've done this before. And I'm very confident that the teams will deliver.
Chen Jiang: Yes. And I guess that's at the end of FY '26, right, as a run rate, the full benefit should be in FY '27.
David Fallu: Full year benefit in '26. And so yes, you'd expect that all things being equal rolling into '27, but we expect that full year benefit in '26.
Chen Jiang: Right. And we are six months away or five months away from FY '26 and then you're happy with the progress so far.
David Fallu: Yes.
Chen Jiang: Okay, okay. especially from Australia steel product, the supply chart on Page 11 operate you will have raw material and energy cost, you are happy with where you're tracking and you're confident that you can achieve by.
Mark Vassella: We are Chen. Yes, that's why we put the information, we're confident in that.
Operator: Next, we have a follow-up question from Peter Steyn from Macquarie. Please go ahead.
Peter Steyn: Apologies, I don't want to extend it too much longer. I just wanted to clarify something you said about Steelscape. The working assumption is that you've got raw materials going into Steelscape that you'd pay a 25% tariff on. But your selling price is obviously a value-added one. So, is it correct just to assume that there's some nuance there in terms of price position? Or are you saying that the -- or the rest of the market is going to be full value, value-added imports and therefore, price needs to adjust to that extent?
Mark Vassella: So let me try and answer that. I might have misinterpreted Pete. But no, look, I mean, the 25% would be on the imported value of the raw material, the substrate, so cold rolled or hot rolled what we do is then add value to it. We metal code it and paint it and sell it as a premium product. So, the cost that we would need to recover or the price movement you'd need to see to cover the tariffs would be at 25% of the coal rolled or the hot-rolled equivalent that goes into Steelscape, mate?
Peter Steyn: Got you. That makes sense. I just wanted to make sure that we didn't get that on.
Operator: Thank you. There are no further questions at this time. I'll now hand back to Mr. Vassella for closing remarks.
Mark Vassella: Thanks all. We know it's a busy time of the year. I appreciate your questions and the number of you that turned up to talk to us today. So, thank you very much, and we look forward to seeing you over the next week or so cheers.